Operator: Good afternoon and welcome to the AngloGold Ashanti Third Quarter Earnings Conference. All participants are in listen-only mode. There will be an opportunity for you to ask your questions at the end of today's presentation. (Operator Instructions). Please note that this conference is being recorded. At this time, I would like to turn the conference over to Charles Carter. Please go ahead sir.
Charles Carter: Thank you and welcome to this presentation by the AngloGold Ashanti executive team of our results for the second quarter ended 30 September, 2006. The format of the presentation will be as follows; Bobby Godsell, our CEO, will review AngloGold Ashanti's performance over this period; Venkat, our Finance Director will briefly discuss key aspects of our financial performance. This will be followed by Mark Lynam, our Treasurer, who will talk to our hedge book and then our two Chief Operating officers Neville Nicolau discussing the operations in Africa and Roberto Carvalho Silva covering the International Operations; and finally Richard Duffy, Head of new Business Development will reflect on key greenfield exploration achievements this quarter. After these presentations we will take your questions. Before we begin, it is necessary for me to read a declaration regarding any forward-looking statements that may be made during this presentation. Certain statements made during this presentation including without limitations those concerning the economic outlook for the gold mining industry, expectations regarding gold prices, production, cash costs and other operating results, growth prospects and the outlook of AngloGold Ashanti's operations including the completion and commencement of commercial operations of certain of AngloGold Ashanti's exploration and production projects and its liquidity and capital resources and expenditure contain certain forward-looking statements regarding AngloGold Ashanti's operations, economic performance, and financial conditions. Although AngloGold Ashanti believes that the expectations reflected in such forward-looking statements are reasonable, no assurance can be given that such expectations will prove to be incorrect. Accordingly, results could differ materially from those set out in the forward-looking statements as a result of amongst other factors, changes in economic and market conditions, success of business and operating initiatives, changes in the regulatory environment and other government actions, fluctuations in gold prices and exchange rates, and business and operational risk management. For discussion of such factors, refer to AngloGold Ashanti’s Annual Report on Form 20F for the year ended 31 December, 2005, which was filed with the Securities and Exchange Commission on 17 March, 2006. AngloGold Ashanti undertakes no obligation to update publicly or release any revisions to these forward-looking statements to reflect events or circumstances after today’s date or to reflect the occurrence of unanticipated events. With that let me hand over to Bobby.
Bobby Godsell: Thanks, Charles. Management are dismayed and saddened by the tragic accident in which five of our colleagues lost their lives at our TauTona mine in South Africa last week. We offer our deepest condolences to their families and friends. We also salute the efforts of the rescue and recovery team who worked tirelessly for a period of five days in the most extreme conditions. Any redemption in an event of this nature could be found in reviewing our entire mining strategy in this area against what we can learn from the accident. The management team of the company has committed itself to take every action to return the company to the improving safety trends of recent years. Even in this disappointing quarter, six of our mines completed their three-month period without a lost-time accident. This is the level of safety to which all 21 operations aspire. Turning to our financial performance this quarter, adjusted headline earnings were in line with those of the June quarter at $141 million. I should note that this translates into a 131% increase in the year-to-date earnings on those of the first nine months of 2005. This contrasts with a 39% increase in the spot gold prices for the same period. Our third quarter price received of $594 an ounce was 6% below spot, well in line with market guidance where we've indicated we want to be between 5% and 10% below spot. We have continued to deliver fully into our hedge book as can be seen from of our hedge reporting. Mark Lynam will speak more to these mechanics in a moment. Turning to production, we have reported $1.4 million ounces for the third quarter in line with that of the previous quarter. Total cash costs were up 2% at $311 an ounce. This increase was primarily due to lower grades in most of our operations as well as the impact of the annual product South African wage increase and the higher winter power costs in South Africa as well as increased our power costs in Ghana. I would characterize the production results from the South African operations as expectable with TauTona, Savuka and Tau Lekoa posting good results, even as lower grades impacted. We saw the lower grade trend at Kopananag, Mponeng, and Great Noligwa. There were also improvements seen at several of our other African operations in the third quarter, including Navachab in Namibia and two of the three Ghanaian operations while all three mines in Mali reported grade-related production declines and so there has been consequent total cash cost increases. Results from the international assets were marked by the continued strength of the Brazilian operations and a better a quarter-on-quarter performance from the Cripple Creek & Victor mine in the United States. Cerro Vanguardia in Argentina and Sunrise Dam in Australia on the other hand were also negative affected by lower grades. Roberto and Neville will take you through the operational performance of their respective regions. Looking ahead, we are estimating production to increase slightly to 1.48 million ounces next quarter at an average total cash cost of $308 an ounce. This cash cost forecast assumes exchange rates to the dollar of 7.50 Rands in South Africa, of two Brazilian Real 20 to the dollar, of 308 Argentinean Peso to the dollar, and an Australian dollar exchange rate of $0.75. In respect of the production outlook, we are still reviewing our mining plan at TauTona in the light of last week's accident. I should also mention that we expect earnings for the fourth quarter to be significantly distorted due to certain accounting adjustments, which Venkat will discuss. Earlier this month, we along with the local National Union of Mine Workers, a second union solidarity and a third union WASA as well as Izingwe Holdings announced a simultaneous launch of an employee share ownership program and a black economic empowerment transaction. The proposed share ownership plan, which will be put before shareholders at the special general meeting on 11 December, proposes the issuance of 960,000 ordinary shares to nearly 31,000South African employees. In addition, a total of 2.88 million loan shares issued at a 10% discount to market value, calculated using a 30 day average price and which will vest in five equal tranches over the next eight years, will also be made to employees. Regarding the BEE scheme, this allows Izingwe Holdings, a private South African investment company, to acquire approximately 1.4 million loan shares under broadly similar terms to the ESOP. Both of these transactions seek to give effect to the undertakings we made when we gained our mineral rights conversion in South Africa, one year ago. Finally, and also in South Africa, the recent Treasury announcement of a revised draft royalty bill has reduced the proposed rate on refined gold from 3% to of 1.5%. This considerably lower royalty than was proposed in the initial draft is welcome and will have a less severe impact on AngloGold Ashanti and indeed the South African gold industry. I now hand it over to Venkat to provide a financial overview of the quarter.
Srinivasan Venkatakrishnan: Thank you, Bobby. As Bobby has mentioned, total cash costs were 2% higher at $311 an ounce, some $5 above our third quarter forecast of $306 per ounce. This was primarily a function of lower grades as a number of mines reported yield decline. Beyond the overall grade decline, the other two key cost drivers were higher power costs in South Africa and Ghana and the impact of annual South African wage increases. In this context, I view our cost performance as reasonable particularly given that power costs and wage increases partly represent the current cost of doing business in these jurisdictions. I would point out that in South Africa, where total cash costs were up 6%; the higher electricity charges during winter contributed nearly 3,000 out of this increase. In other words, absent higher power rates during winter, total cash costs for South Africa would have again been below 60,000 Rand per kilogram. The effect of slightly higher cash costs combined with the price received of some 6% below spot was mitigated by the sale of uranium this quarter to the newly-listed Nufcor Uranium Limited and helped maintain our adjusted headline earnings of 1.1 million or $0.51 per share, a financial performance that was in line with the June quarter. As Bobby mentioned earlier, year-to-date adjusted headline earnings are up 131% as compared to the same period in 2005 while gold price is up only 39% over the same comparative period. This demonstrates the fact that our shareholders are seeing significant earnings leverage on the back of a gold price rally. Regarding the future accounting treatment of our Employee Share Ownership plan, I would like to make the following points. It is important to note that we have taken the decision not to fair value the scheme through the income statement in order to eliminate related volatility adjustments each quarter. This would however mean that our adjusted headline earnings will therefore reflect the full option value of the ESOP as of the date of implementation which will be amortized over the vesting period in respect of the shares awarded to our employees and recorded as a one-off expense in the fourth quarter in respect of the Izingwe transaction. Assuming our share price on the date of grant of 300 Rands per share, a 35% volatility factor and a Grand price of say, 270 Rands per share representing a 10% discount on a 30-day average price. The total charge to the income statement over the life of ESOP, i.e., from 2006 to 2013, inclusive will -- would be guesstimated at 559 million Rands. Some 130 million Rands of which will be accounted for in the fourth quarter of this year. This accounting charge and subsequent accounting charges will not, I repeat, will not impact on Group's cash flow. The accounting standards also stipulate that the 960,000 free shares and the 4.28 million notional shares must be included in the total shares in issue for the purpose of calculating earnings per share. Turning to our balance sheet. The proceeds of the equity raising completed earlier this year and strong cash generation from the operations, has helped meet both our capital expenditure and dividend requirements, and still maintain our net debt at a significantly reduced level of just over $1 billion. On net debt to EBITDA ratio has improved to below 1 from 2.23 and sits currently at 0.82 times, which compares very favorably indeed with other companies in the industry. Finally as Bobby mentioned, our fourth quarter earnings are expected to be significantly distorted due to certain accounting adjustments. These include amongst other things, increases in our current and deferred tax provisions due to higher gold prices by consequent changes to effective tax rate; the implementation of the ESOP, as just described; and the potential vesting of certain share-based awards. I will now hand you over to Mark to take you through our hedging activities in more detail.
Mark Lynam: Thank you, Venkat. As has been noted, our price received at $584 per ounce, was $16 per ounce below that of the second quarter, and some 6% lower than the average spot price seen during the third quarter. This was well within our forecast range of 5 to 10% below the average spot price, as we continue with our strategy of delivering it to the hedge book as fully as we can in order to bring the hedge delta down in a way that does not destroy value. At the 30th of September, the hedge showed 635,000 ounce reduction, to 9.5 million ounces, as compared with 10.14 million ounces as of the 30th of June, 2006. It is important to note that the buying back of hedges or going long is consistent with and a part of our long held practice of actively managing the hedge books. As a result of this strategy, there is currently a net long dollar gold position of 26.5 tons at an average price of $650 an ounce for 2006 visible in our hedging table. The hedge price on this long position is a weighted average net price and does not imply that we purchased the gold at $650 per ounce. Likewise, the hedge position is fluid and it should also not be assumed that these long positions will be closed out and losses of realized in 2006. Rather, as has historically been our practice, these long positions will be integrated into the hedge book and used to reduce hedging commitments in future periods. I will now handover to Neville to take you through the operational performance of the African assets this quarter.
Neville Nicolau: Thank you, Mark. The African assets produced a mixed set of results for this quarter, with good performances from several of our South African operations, and significant production increases from Siguiri in Guinea, Navachab in Namibia, and two of our three Ghanaian operations. The Malian assets had a -- on the other hand, had a rather more difficult quarter, with low grades affecting all three mines, resulting in production declines of 7% in Morila, 12% at Sadiola, and 15% at Yatela. In South Africa, all seven operations were affected by the annual wage increase of around 6%, plus the normally higher winter power rates. This resulted, as Venkat described, in a 6% increase in the total cash costs, although despite lower grades at Mponeng, Great Noligwa and Kopananag, production for the region was more or less steady quarter-on-quarter. This was in part due to TauTona's pleasing 8% production increase, and steady total cash costs [from] Savuka and Tau Lekoa, our two recently restructured South African operations, operational performance was also encouraging. At Tau Lekoa, cash costs were up slightly, while production increased 5% as the mine stabilized at revised standing levels. Savuka reported excellent results, with production up 24%, [dried-out] 19%, and total cash cost consequently 9% lower. As Bobby mentioned, we saw a disappointing deterioration in the safety performance in the third quarter, and this decline was primarily concentrated in our operations in South Africa. So this led to four South African operations scheduling two full safety days in October, during which the operational teams focused on short-term interventions and long-term solutions addressing workplace SKUs lost, employee fatigue, and other issue that contributed unsafe working conditions. Regarding the last week's tragedy at TauTona, mining in this area where the seismic event occurred, has been and will be scrutinized by external and governmental consultants and review of our activities there and the company's overall safety strategies are underway. Notwithstanding this accident, progress has been made over the past few years in the development of support systems, and in the research and understanding of seismicity. We believe that continued efforts in this result can result in the elimination of the casualties and injuries caused by seismicity. Turning to our other African underground mine, production was down 3% at Obuasi, in Ghana, this quarter due mainly to 6% decline in grades. Total cash costs, however, improved 4% to $388 per ounce. Regarding Bibiani, where production was 11% [blurred] and cash costs were up significantly this quarter. We announced in August an agreement to sell this asset to Central Africa Gold plc for a cash consideration of $40 million. This deal is subject to both parties obtaining certain regulatory consents and is expected to be completed by year end. Finally, as our third Ghanaian operation Iduapriem, the mill problems highlighted in the last quarter have been resolved, and production and total cash costs improved by 7% and 17% respectively. This is particularly pleasing in light of the expected cost repercussions related to the power shortages currently underway in Ghana. On this note, I should mention that the water level of the [water] system has begun to rise and is now at 240 feet, a low, but likely manageable level, and as the country's thermal energy capacity has been fully restored thereby easing some of the national reliance on hydropower. The Ghanaian government, however, has continued with its mandated energy rationalization project, and is expected to reassess the situation towards the end of the year, where we will have a clear idea of the impact of the power shortages on 2007 cost for our Ghanaian operation, at which point we will offer market guidance accordingly. As I mentioned, Siguiri, in Guinea, had a solid production quarter posting a 5% improvement to 62,000 ounces with fewer plant maintenance shutdowns resulting in better throughput. The total cash cost rose 8%; however, due in part to lower grades and also to increased royalty payments. Brownfield drilling around this operation focused this quarter on following up known mineralization in four key areas. Reverse circulation drilling has commenced on selected portions of spent heap leach where we intend to define a Mineral Resource. Looking across to East Africa, Geita in Tanzania had a slightly better operating performance quarter-on-quarter, with production up marginally to 73,000 ounces, primarily due to 5% increase in tonnage throughput. Total cash cost, however, was 7% higher at $540 per ounce, as a result of the lower grade that we forecast last quarter, which are related to the slower than anticipated pushback/pull and associated delays until next year in accessing the high-grade ore body underneath. Brownfield exploration continued this quarter at Geita, which results from 19 reverse circulation holes and 14 diamond drill holes, indicating significant mineralization in the gap between Ridge 8 and Star & Comet targets. We expect the mineral resource to be generated in this area. I will now handover to Roberto, who will discuss the international operations.
Roberto Carvalho Silva: Thank you, Neville. International operations also posted mixed results for the September quarter. Looking first to South America, Serra Grande reported production gain maintained at 24,000 ounces and total cash cost 6% lower due to part higher grades. At AngloGold Ashanti Brazil, production increased at 18%, the effect of both, better results from heap leaching Córrego do Sítio activities and more ounces from the Cuiabá mine following the completion of the shaft and the crusher upgrade there, which was part of the Cuiabá expansion project that we expect to be commissioned earlier next year. Despite improved production, total cash cost at AngloGold Ashanti Mineração rose 9% as a result of both, a lower grade and a labor bonus paid out in August as part of the collective agreement. Cerro Vanguardia in Argentina had a more difficult quarter, with production declining 40% as planned, nevertheless 4% above that such plan, to 55,000 ounce due to a decrease in grade. This in turn resulted in 30% increase in total cash cost, which are also negatively impacted by a lower silver byproduct credit. Regarding brownfield exploration in South America, two new veins have been confirmed by resource reconnaissance drilling at Cerro Vanguardia; while at Córrego do Sítio, Brazil, a new deposit Paiol is in the process of being delineated after the initial three intersections returned positive results. In Australia, Sunrise Dam also had a [pretty challenging] third quarter. Production was 4% lower to 108,000 ounces due to fewer tons treated and returned to a more normal grade levels after last quarter and expected higher yields. Total cash costs were consequently 25% higher at 458 ounces. Also in Australia, the Boddington expansion project continues to progress well. Brownfield exploration is underway and with the five diamond drill rigs employed in programs to convert Inferred Resource to Indicated Resource in the Wandoo South Pit where historically broad zones of mineralization have been intersected. Finally, at our North America operation CC&V in Colorado, I am pleased to report a good quarter with production up 6% due to the better solution flows from the leach pad, which led to an increase in recoverable ounces. Total cash costs were maintained at $243 per ounce in line with those of the previous quarter. Brownfield exploration continues to make a good progress at CC&V with encouraging drill results we've seen in this quarter from the Life of Mine Extension Project. Additional modeling will be completed in the last quarter of the year while developing drilling continues in the South Cresson deposit to define final pit depths and high wall designs. I now hand over to Richard to discuss the highlights of the Greenfield exploration programs.
Richard Duffy: Thank you, Roberto. Exploration continued this quarter in Australia, Columbia, the DRC, China, Laos, Philippines and Russia with good progress in particular being made in our four priority Greenfield targets; Tropicana in Western Australia, Quinchia and Gramalote in Colombia, and Adidi/Kanga in the DRC. We also successfully concluded our transaction with ITH in which we contributed our Alaskan exploration assets in exchange for a 19.9% equity stakes in that company. Drilling of the Tropicana joint venture is underway on both the Tropicana and Havana zones. At Tropicana we are focused on identifying extensions to the known mineralization and to better-defining the orientation and extent of the high grade shoots. These recent results include 39 meters at 3 grams a ton, including 15 meters at 6 grams a ton, 36 meters at 3.5 grams a ton to include a 12 meters at 8.7 grams a ton and 41 meters at 3.7 grams a ton which include 11 meters at 11.5 grams a ton. Back to Havana zone, an area that we believe is the Southern extension of the Tropicana zone, mineralization is now being identified over a strike length of 2.1 kilometers and is still open to the north, south and down-dip. Encouraging intercepts this quarter included 10 meters at 5.3 grams a ton and 25 meters at 2.5 grams a ton, including 13 meters at 3.5 grams a ton. As I mentioned at the Denver Gold Conference in September, we see the potential for a multi-million ounce deposit in this new gold region and we plan to commence a pre-feasibility study next year. In addition to initiating several exploration partnerships in Colombia, we have recently completed Phase I drilling, directed at bulk-tonnage targets on two of our own projects in Central Colombia, Gramalote, where a total of seven holes have been drilled, with best results including 255 meters at 1.16 grams a ton and 275 meters at 1.2 grams a ton, and Quinchia where 19 holes have been drilled with best results of 265 meters at 0.8 grams a ton and 242 meters at 0.85 grams a ton. Second phase drilling at Gramalote is scheduled for next quarter as is further test work on mineralization at Quinchia. In the DRC, where as most of you will know, we are initially targeting a 3 million ounce Inferred Resource at Adidi/Kanga, significant new intercepts include 0.63 meters at 240 grams a ton, 5.48 meters of 2.46 grams a ton, and 10.07 meters at 1.54 grams a ton. The anticipated arrival of a reverse circulation drill rig in November in addition to the two diamond drill rigs currently on site will allow us to continue to accelerate our exploration program. In September, we also announced the signing of a strategic alliance with Polymetal, to explore, acquire, and develop gold mining opportunities within the Russian Federation. This alliance will initially focus on two projects contributed by Polymetal as well as two assets Veduga and Bogunay in Krasnoyarsk, which we will be acquiring from Trans-Siberian Gold. I should note that AngloGold Ashanti will retain its 29.8% stake in TSG. Thanks, I'll now hand it back to Charles.
Charles Carter: Thank you, Richard, and with that, we'll be happy to take your questions.
Operator: Thank you very much sir. (Operator Instructions). Our first question comes from Victor Flores from the HSBC. Please go ahead, sir.
Victor Flores - HSBC: Yeah, thanks, good morning everybody. Just a question about the results and reconciling the headline results to what we would call sort of a clean number. $268 million at the headline earnings level, but that includes $143 million of unrealized and realized gains on non-hedge derivatives, deferred tax on those hedge derivatives about $3 million, $58 million for the option component of the bond, which is another non cash item, leaves you down at $64 million which is about $0.23 a share; and then apparently some gains on sale of uranium which I didn’t see broken-down in the result. So, am I missing anything there?
Srinivasan Venkatakrishnan: Yes Victor, this is Venkat. If you look at page 31 of our results, we have actually put a non-GAAP disclosure on item A, reconciling the headline earnings with the -- and bringing it to the adjusted headline earnings; you have got all your numbers right. I think on one occasion your brackets have gone the other way around. So, its 268, take away 65, take away 3, take away 58, gives you 141 million for the quarter, that is point one, and point two is, in terms of uranium, if you look at it slightly differently, the next impact in our adjusted headline earnings off the facts of 6 million and you can look another way around, a $2 decrease in the spot price, a $2 increase -- 2% increase in cash costs thanks to the ounces gets you to the same place. So, the reconciliation is on page 31, and the impact on sale of uranium was about 10 million pre-tax, 6 million post tax.
Victor Flores - HSBC: Okay, I have seen note A, and I've also seen note B, where your non-hedge derivative gain is summarized as realized of 77, and unrealized of 65 for a total of 143.
Srinivasan Venkatakrishnan: Right.
Victor Flores - HSBC: So, only the 65, unrealized is being netted from the results?
Srinivasan Venkatakrishnan: Correct. The realized gain is actually included in our adjusted headline earnings because that gain has been realized.
Victor Flores - HSBC: Okay. So, is that part of separate hedge book activities?
Mark Lynam: This is Mark here. No, it's consistent with how we've always treated it in the past. The unrealized gains relate to mark-to-market value on positions which are still open at the end of this period.
Victor Flores - HSBC: Right.
Mark Lynam: And it's simply the movement on those contracts over the period that' absolutely consistent with period. I think up until this point over the last number of quarters we've actually had a realized -- an unrealized loss, which we've always split out.
Victor Flores - HSBC: Okay. May be will follow up offline--
Mark Lynam: Sure.
Victor Flores - HSBC: -- for details. Thank you.
Operator: Our next question comes from [Peter Tungridge] of BJM. Please go ahead sir.
Peter Tungridge - BJM: Hello there. Both of my questions are grade related. Firstly, for Neville in Obuasi, if I look back sort of 18 to 24 months, Neville, we dropped down from levels closer to 6 grams or something, Obuasi is now sitting at just over 4 grams a ton. So 20% or 30% drop. And I'd understood in my model and assuming grades of close to 6 grams a ton. But I am just trying to get an idea of exactly what is going on underground at Obuasi and why are the grades as low as 4 grams a ton?
Neville Nicolau: Peter, earlier in this year, we gave some guidance in terms of concerns of the grade at Obuasi and the conclusion of that guidance was that just below 5 grams a ton was where we expected it in the short maybe to medium term. The upside comes from the low 50 level where we are planning medium-term projects to get into that slightly grade up. And then there are also some very specific reserve-generating projects that we are looking at in the north of the mine above 50 level to get the grade up, but the grade at the moment is only slightly below absolute -- our current expectations. It's not 30% below our current expectations.
Peter Tungridge - BJM: Okay. So, it is another dilution issue or anything underground that starts on behaving as they should, this was just slightly below where you think the mine should be producing?
Neville Nicolau: Well, it's slightly below what our expectation, given our broken grade on the space is, and the broken grade on the space is inline with our current model geological interpretation of the ore body. And the difference is that we need to improve the dilution and the quality of actual ore extraction and those are sort of ongoing projects. But I mean, these are sort of fine tuning activities and not -- we are not taking a major step with the grade.
Peter Tungridge - BJM: Thanks. And then for Roberto, Cerro Vanguardia the nature of the ore body is quite [aggressive], I am presuming the fluctuations we have seen in this quarter in grade are just representative of the nature of the ore body, is that correct?
Roberto Carvalho Silva: That is correct, Peter. However, I must highlight one thing which is very important. We are following a strategy for mining Cerro Vanguardia and that was from the beginning of the initial five years, we mined at a higher grade, low-stripping ratio, and now it is a natural thing to be mining at lower grades and higher stripping ratios. In 2006 particularly, we planned that the mine to have a decreasing production on the quarters going forward. So, and that is the nature of the orebody, and I can anticipate for you that next quarter we will have 13,000 ounces, that’s my estimated lower ounces than on the previous one that was planned. However, we are 4% better than what we have planned. But, in summary, our (inaudible), this is a nature of Vanguardia and that’s the way that we planned that mine.
Peter Tungridge - BJM: Okay. Thank you. And if I can just ask one more, on the expansion project in Brazil. Is everything there still going as planned in terms of timing and capital cost of the project?
Roberto Carvalho Silva: In terms of implementation of the project, everything is going as planned. In terms of the capital cost in local currency is 2% below the budget. But, however, when you look at in the dollar number, you've seen a much higher number due to Real appreciation, which approaches about $45 million above. However, with 538,000 ounce having been added to the project with the new ounces in and the price pattern, so the NPV of the project is three times the one that we have approved at the time that the Board approved the project.
Peter Tungridge - BJM: So that production coming in when [would you say]?
Roberto Carvalho Silva: The production is coming at real fast, normally as we predicted from January through June, and with the -- with no delays whatsoever. There is some -- some of the broken ore has been transported truck, given the delay of the commission on the problems of commission the crusher at the surface and after grading of the shaft. However, that has been over -- we overcome these problems with transporting some ore to the Queiroz plant. The safety risk assessment has been commissioned by the end of September very successfully, so it's up and running. Now, I don’t expect any delay on the ramp up.
Peter Tungridge - BJM: Thanks, very much.
Roberto Carvalho Silva: You are welcome.
Operator: Our next question comes from Muneer Ismail of Deutsche Bank. Please go ahead.
Muneer Ismail - Deutsche Bank: Good afternoon, guys. Just a few questions, Venkat, for yourself on the dividend policy. Could you give us an idea prior to, sort of, the increased risk on the balance sheet? I mean, you solved that now with a $500 million raising, but prior to that we were able to just, sort of, throw in 1.3 times cover on the dividend side. Have you got a policy that we can sort of implement and push forward into our models? What would you recommend there?
Srinivasan Venkatakrishnan: Listen, I wouldn't sort of lock ourselves into a particular formula, but purely for modeling purposes, I would suggest that you apply the same ratio of dividends to adjusted headline earnings, which we declared in the first half of last year and the second half of last year. And again, that's going to be a functional cash generation on the operations, capital expenditure, etcetera, but for modeling purposes that should suffice for the moment.
Muneer Ismail - Deutsche Bank: All right. On the tax issues that you mentioned, you rattled them off quite quickly. We did chat with you, and my apologies. But there were two that have picked up the high anticipated profits, so tax should increase in the back of that, tax associated with the (inaudible). What is the other tax issues that --?
Srinivasan Venkatakrishnan: Actually, Muneer, there was one tax issue and two other separate accounting adjustments. The tax issue which you picked up was highest spot price, therefore we have to reset our effective rates at which the capital allowances and so on will unwind and, therefore, reset our deferred tax provision. That is the tax adjustment that's issue one. Issue two, is the charge for the ESOP, the 130 million Rands which will go through in the fourth quarter. That’s not tax, that’s purely an accounting charge for the ESOP.
Muneer Ismail - Deutsche Bank: Okay.
Srinivasan Venkatakrishnan: And the third category is, depending on certain trigger conditions being met, our share awards which were given in 2002 and 2003, may actual event, but we will only know that come the end of this year.
Muneer Ismail - Deutsche Bank: Okay, all right. Thank you. Sorry, one last question for Neville. Neville, with regards to Great Noligwa, it’s the second quarter that we've seen this dilution problem with the [OPOS] system. Can you give us an idea on what the actual issue is? Is it scaling or is it a problem with the waste cost that’s forcing you to go down through the [OPOS] system, or -- I mean, and then just an idea on when will this be cleared up?
Neville Nicolau: I mean, Great Noligwa is, sort of, ongoing [OPOS] issue. It’s a -- there's a multiple system of [OPOS'] and with scaling in seismicity and so on. This does from time to time affect the grade. But quite importantly, Great Noligwa has sometimes wasted and reefed together, simply because of the size of the (inaudible), the waste is the grinding medium that we add on surface anyway. So, the problem with Great Noligwa's grades is not directly related to the [OPOS] situation. It’s a mining mix problem together with a volume problem, and this comes from earlier this year's seismic activity, particularly in the sort of southwest corner of the mine, where seismic activity forced us to review the mining methods and the mining sequence and the layout, and that’s resulted in actually the mine underperforming both in terms of grade and volume. The volume is on an upward trend and is encouraging. The grade is disappointing at the moment, but I would remind you that regarding the market in terms of Great Noligwa's grade coming down in time, so it's not hugely off the pace in terms of what our forecast was, but it is off the pace in terms of where Great Noligwa as a mine, if I am explaining that well enough to you.
Muneer Ismail - Deutsche Bank: Okay, it just seems as though, I mean, you guys put it forward as a reason for underperformance at the mining in the blurb in the release. So, one expects that it is an issue. What you are saying is that it's not an issue, it's actually part of the ongoing operations at the mining, am I right?
Neville Nicolau: Look really --
Muneer Ismail - Deutsche Bank: (inaudible)
Roberto Carvalho Silva: Hi Muneer.
Muneer Ismail - Deutsche Bank: Hi, Robby.
Roberto Carvalho Silva: Actually, gone through a little bit of more off-reef mining lately, due to structures that they are mining through. And then the other problem is that they are not mining, they are mining the, what I will call the, [coverage] mining volume. Okay. And I think that’s the reason why you're seeing the dilution in terms of grade. But we sort of see that the grade in terms of where it is at the moment, we look at the next 12 months, that’s where the grade is going to be at Great Noligwa.
Muneer Ismail - Deutsche Bank: Alright, great stuff. Thanks Robby.
Operator: Our next question comes from George Lequime of RBC Capital Markets. Please go ahead, sir.
George Lequime - RBC Capital Markets.: Thanks, gentlemen. I wonder if Neville will also discuss a little bit on Moab, because this one your key operation going ahead you mentioned about some flexibility problems there that's cause of the grades being as low as you come out with. And then, in context just looking out into 2007, can you give us an idea on production level and cost, like the way we are at the moment?
Neville Nicolau: Look, George, the great issue at Moab is as one looks at it all, and then maybe it’s a volume issue of gold at Moab, when one looks at it in terms of the quarter, it's very disappointing. But, the issue at Moab is that we -- I mean, we've just opened up the ore body and we are in a buildup process. It is the lower grade side of the ore body as we have tried to give guidance on before, and the volatility of grade in this area is huge and it comes from a small area. We have reviewed the quarter and looked at the next quarter, and at the moment we are expecting an improvement in production from Moab in the next quarter, simply because we are mining into slightly higher grade areas. I think at this point in time, we are not overly concerned with the overall build up of Moab's production. We are not happy with poor quarters like this, but in the beginning phase as these will be compensated by better quarters. Overall the trend is upwards, and is still inline with the market guidance that we gave last year and in terms of next year's market guidance, we'll give that as soon as Charles Carter puts together the presentation and guides us on -- and we give guidance on that. But, I don't expect at this stage that it is going to be hugely different from our previous quarters.
George Lequime - RBC Capital Markets.: Any commentary you want to make as well on, expand on [probably] problems that you have got and obviously given the fatality, lower the operations or is it going to mean a sort of medium-term change in approach, the rate at which you are mining or all support cost?
Neville Nicolau: We are reviewing the entire process of mining in the shaft pillar area. The mining that we are doing at TauTona has been subject to a lot of scrutiny in the past. But, it is still too early to say whether the current events are going to cause us to change our approach or our mining method or anything for that matter, and we did have undertaken the text of these interviews to update the market as soon as any clear direction is forthcoming from our evaluation of the ore body and the mining of the ore body.
George Lequime - RBC Capital Markets.: When will that be [available], do you have an idea?
Neville Nicolau: As soon as it's done. I mean, this is not an easy process. It's a complicated method. It's -- and I really, I mean, I really wouldn’t like to commit to a timeframe; of course, I would like to have done it as quickly as possible and, of course, we would like to give guidance as quickly as possible. But at this stage, we are evaluating all of the options. I mean it -- I certainly, I mean, I know that we will have an answer before the end of the quarter, but we will give you the answer when we have got it, George.
George Lequime - RBC Capital Markets.: Okay, thanks. Thanks gentlemen.
Operator: (Operator Instructions). Our next question comes from Terence Ortslan of TSO and Associates. Please go ahead.
Terence Ortslan - TSO and Associates: Thank you. Good afternoon. Just on the Boddington, (inaudible) conversion with the infill drilling you are doing? And two, how the project is going? And number three, if any changes in the project parameters?
Neville Nicolau: Okay. Thank you. First on, the infill drilling is going well. I think we have just managed to put some extra drill rigs into operation. Our intension is to accelerate the ounce conversion there. It's going well. By the year end we should be converted some more ounces as we expected. The project is going well. We've done at 30% result based on the design and engineering before late November, begin of December, and so far the things are going well with some update in some estimates, we will actually communicate and address the market when that is done. We don't expect major variance or distortions in what we have planned. In summary, I think the -- there is no change in the plan and parameter of the project, so far it’s of great significance and I think the project is moving exactly on pace.
Terence Ortslan - TSO and Associates: All your five rigs are essentially for the purpose of resource, the (inaudible) to indicate a resource conversion?
Neville Nicolau: That is the idea. Yes.
Terence Ortslan - TSO and Associates: And, can you talk about the percentage terms that any conversion sign comprises of the present side, or is it just basically within the line, or -- just give me the parameter please?
Neville Nicolau: I beg your pardon, I missed the last part of our question.
Terence Ortslan - TSO and Associates: Okay, are the conversion ratios or what are they? As you are already using the Wandoo South pit right now, which is fairly -- pretty broad mineralization?
Neville Nicolau: Yeah, I mean the conversion is exactly where we thought that it should be. I mean it's just a question of how we plan it and we are just speeding up the program. And it should be -- sorry?
Terence Ortslan - TSO and Associates: I am sorry, please continue.
Neville Nicolau: No, I was saying, is there anything else?
Terence Ortslan - TSO and Associates: Yes. One more exploration question on the Cerro Vanguardia, the two new veins that you have confirmed, can you talk about the width and the strengths on those?
Roberto Carvalho Silva: Well those two veins are very important because actually the exploration team in Cerro Vanguardia have being confirming and converting godowns, which has been helping to maintain the profile of the mine those two new veins into Cerro Vanguardia are going to add we expect that we could convert those two ounce -- relatively to 150,000 ounces for next year.
Terence Ortslan - TSO and Associates: Okay. Just a follow-up question on the exploration as the -- your annual exploration expenditure this year based on percent and the capitalized bid?
Bobby Godsell: Exploration budget --
Srinivasan Venkatakrishnan: For this year we will probably be looking at a total exploration spend of around $90 million and about or probably close to $95. Of that $35 million to $40 million is on greenfields exploration and the balance is on brownfields exploration. Did that help?
Terence Ortslan - TSO and Associates: Yes that would.
Srinivasan Venkatakrishnan: And in terms of expense, we are probably looking at a total of about 50 million would be -- around 50 million would be expensed, slightly over half.
Terence Ortslan - TSO and Associates: Great. Thank you very much.
Operator: Our next question comes from Justin Brown of Business Report. Please go ahead sir.
Justin Brown - Business Report: Good day. I have three questions please. I just wanted to confirm just a number of fatalities that AngloGold Ashanti has sustained itself in operations and specifically TauTona? My next question is why AngloGold Ashanti has had a higher number of fatalities at the South African operations in 2006 versus 2005? And just, my third question, please, is just the specific actions that AngloGold Ashanti is (inaudible)? Could you please just elaborate on the review that was mentioned earlier? Thank you.
Bobby Godsell: Commenting to your first question, South Africa has now had 29 fatalities for the year-to-date, and that's versus 17 fatalities for the whole of last year. TauTona alone has had 16 fatalities of which three incidents were multiple fatalities where we had two in one incident, three in another incident, and this last incident we had five -- all three of them were seismic rock related incidents. If we look at 2005 versus 2006, I think I gave that answer [really back] 17 last year, but also accepting that 2005 was an exceptional year. I mean we came down from 32 fatalities in 2004, down to 17 fatalities last year, which doesn't mean to say that we need to go up again, but over the last few years we are still on a downward trend if you take the last five years into account. I mean any one fatality is unacceptable to us, and it just means that we have to work harder in terms of managing the risk and preventing these fatalities from happening. I think your last part of the question I didn’t catch.
Justin Brown - Business Report: What specific actions is AngloGold Ashanti planning, and (inaudible) fatalities in South Africa?
Bobby Godsell: Okay. What are we going to do specifically coming out of this TauTona fatality, the shaft for the mining was modeled in about 2002. And it was actually then exposed to some external parties to evaluate the appropriateness of that strategy. That was the CSIR mining tech and some external rock engineering consultants actually reviewed the strategies because we wanted it to be the appropriate mining design and mining strategy. They gave it it' okay. What we're going to do now is invite same parties back again and some other parties and say, guys what went wrong in terms of the strategy, why does this, I mean, actually take place and caused the damage that it caused underground? That’s the first part in terms of looking specifically at the TauTona shaft pillar strategy. The second part, we also went to -- [for open] our total South Africa safety strategy to external input scrutiny. So, what we're going to do is we’re going to call on some consultants, we are going to call on some people from Anglo-American as well to lead the process for us in terms of looking at the South Africa safety strategy and see what is there that we can actually improve on.
Justin Brown - Business Report: Okay. And just a review of the mining strategy, will that be specifically at TauTona or all your South African operations?
Bobby Godsell: It's going to be specifically at TauTona. TauTona is doing the shaft pillar mining at this stage. It’s the only operation that’s mining directly within the shaft pillar. But of course there is going to be an enquiry into this as well, there is already a lot of these sensitivities regarding shaft pillar mining as such across the industry and we'd like to see what the implications and output is going to come from the enquiry.
Justin Brown - Business Report: What are the concerns about shaft pillar mining?
Bobby Godsell: I suppose it’s the number of accidents that are happening with the shaft pillar mining. Although we've modeled this thing and I mean if you look at the spaces in terms of how shaft pillar versus the spaces and other areas of the mine and I am talking the rock spaces now. It is very, very similar. It is more of approach. At TauTona, we are mining what we call outside the zone of influence. So, the mining that is taking the place is not affecting the shaft infrastructure or shaft barrel, or our fixed plans or anything like that. It is more in terms of I think the seismic events that we are experiencing. But I must say, if you compare seismic events within the shaft pull and you compare it to other areas within TauTona, it is a very similar experience.
Justin Brown - Business Report: Thank you, very much.
Operator: Ladies and Gentlemen, we have no further questions. Would you like to make some closing comments?
Bobby Godsell: No, we are happy to conclude with that. Thank you.
Operator: Thank you very much, on behalf of the AngloGold Ashanti. That concludes this afternoon's conference. Thank you very much for joining us. You may now disconnect.